Jean-Marc Jestin: Thank you. Good morning, everyone. Thank you for joining us today. I'm Jean-Marc Jestin, Chairman of the Klépierre Executive Board, and I'm happy to be here with Jean-Michel Gault, Deputy CEO to present Klépierre first half 2019 earnings. In this presentation, we will cover five topics. First, I will say a few words about our strategy which in our view explain why we keep posting all these earnings in a fast-changing environment after which I will go over the highlights of the first half and cover our operational performances. And then Jean-Michel will present our financial in details. But first a few words about the current environment and how we are navigating in it because it can appear surprising that we continue to post solid results when the market seems to believe that the retail and the retail property sectors are boom. Of course to us this is no surprise. Sure we are facing challenges. The transformation of retail is underway. It is happening pretty fast and those who did not anticipate it are struggling. Some believe that in this new omnichannel world that we are getting to know traditional players will lose. Only to the extent to which they will lose may vary from one player to the other. But I don't believe this. I believe that some will indeed lose, but many others will win. I believe that omnichannel retail benefits those retailers who know how to embrace it and mall owners who can support this transformation. Take sales, some say online sales are growing at the expense of in-store sales. The total sales are supposedly not growing. There will just be a redistribution of sales between the two channels. This is not true. Statistically, total sales are growing and there is even a correlation between online and in-store sales growth. It is now well-documented that the retailers online sales grow faster in an area where the retailer has a store, on the opposite online sales drop in a catchment after our store closure. You just need to have the right store at the right place. Some argue that consumers' habit are changing say to the expense of the shops that they are less inclined to go out and shop in malls that it is not what we are seeing. Every time we renovate our malls, every time we change a mix, every time we organize events and enhance our customer care, we see fruitful in sales increasing because the physical and emotional connection experience is simply more powerful than what we can get digital. One last argument on the pessimist side is that retailers margin are falling so they can't finance the retail transformation. It is true that many retailers face pressure on their margins, but they all know and we know that if there is any online profitability at all it is very limited. So they need sure store, but better stores to consolidate their overall profitability. For many years we have been implementing a strategy to leverage this retail transformation. This is a 3-tier approach. First, our capital allocation is driven by demand from the best performing retailers on the continent. We keep or buy the assets that want to be used and we invest in those properties, the others we sell. Secondly, we take good care of our consumers to be sure they come to our malls, stay a longer time and want to come back. For this we have four initiatives that most of you are already familiar with. Retail first, to get the best of retail in our shopping centers. Let's play to make our malls entertaining, club store to convey a sense of hospitality and ensure seamless customer journey and as per peace act for good to make sure our business is sustainable and creates value for our local communities. The third pillar of our overall strategy is financial discipline. CapEx is spent wisely and only if it is cash flow relative and we keep our debt stable if not lower. It is easy to increase cash flow with higher leverage. We never did it and we'll not do it. I think this strategy is paying off. In the first half once again we posted solid results. Our like-for-like NRI grew by 3.1%. Our net current cash flow increased by 5.4%. We delivered on our disposal plan and we de-leveraged the company and further reduced our net debt-to-EBITDA ratio which is now close to 8 times. We'll come back to all of these points in greater detail during his presentation with Jean-Michel. All of these make us confident for the future. And starting with this year considering among them there seems a good level of our operating performance. We have decided to raise our cash flow guidance for 2019 from between €2.72 and €2.75 to at least €2.76 per share. In fact looking forward, we think we'll be able to continue growing our revenues and for this there are structural reasons for our confidence. When all the smoke clears, everyone will realize that the physical store is essential to retailers' ecosystem because this is where emotional connections happen and brand loyalty is built. This is also a showroom for the online marketplace. The store will increasingly clear all of our logistic hub and this is where the profitability remains. So retailers don't pay a rent for a store just to make sales in the store. They are investing in an essential asset, in their omni-channel and ecosystem. And the best performing retailers, we know them well and they like our properties and the way we run them, because they are distinctive places. And please never forget, our occupancy cost ratio, are on average low around 12%. And our cash flow will grow even further, because beyond this increase, in our like-for-like rental growth, we'll pursue our accretive capital allocation. We continue to work on our pipeline projects to extend and to refurbish our properties. Our cash flow growth for those will be sustained by further reductions in our interest expenses, everyone was betting on rising interest rates. We have actually gone down significantly, which considerably change the picture. Klépierre is a growth story. We have designed our strategy for this. Now, let me touch on the highlights of the first half. Starting with NRI, as I said earlier, NRI grew by 3.1% on a like-for-like basis. This is significantly above indexation. And then, as you can see, all countries are positive. Iberia and the Netherlands lead with impressive growth. On the leasing side, our leasing teams maintained strong deal flow. The 820, sorry 821 leasing we saw in the first half, at an average 9.4% reversionary rate, that is include 689 renewals and re-lettings. And once again, the Netherlands and Iberia led the way in reversion. Our operational metrics are also well-oriented. The good leasing performance, I just mentioned, translated into lower vacancies. We can now say that we are back to peak levels at 3%. And Asia is increasing in a reasonable way and remains low, as I indicated earlier. And bad debt remains at the very low level. Retailer sales recovered somewhat at plus 1.6%, the increase by 0.8% last year, as you know, and the first quarter of 2019 was specifically soft at 0.2%. But the second quarter was more dynamic at plus 2.8%. As usual geographic performances were mixed. Iberia and Central Europe are still benefiting from dynamic consumer spending trends, while France is recovering from the yellow vest protest. From a segment perspective, food and beverage, health and beauty remained the best performing segment, while fashion was slightly positive. Another notable event of the first half is that we sold €501 million worth of assets. On this map, you can see that we have sold over the last 18 months for a total of €1 billion. And this demonstrates that, thanks to our Pan European footprint and our good investment team, we can continue to sell, a variety of asset, to a variety of buyers and at good conditions, 3.5% of those book value. It is also important to stress, as we see on the other side, the evolution of the value of the 11 malls we sold in the first half of this year. They were sold 5.5% above their latest appraisal value, but 18.2% above their 2015 valuation. The last highlight I would like to provide is financing. As I mentioned in my introduction, the decline in interest rate is an important feature of the first half to take into consideration and to a sales value of our business. We raised capital on the bond market at historically low conditions, with our 11-year bond at just 0.625%. We also continued our de-leveraging efforts, reducing our net debt in absolute terms by nearly€60 million in the first half. Now let's quickly take a closer look to our operational performance with our four operational pillars. Starting with retail sales, we continue to transform the retail offering in our malls at very, very fast pace. In just six months, as you can see on this slide, we have managed to significantly rotate the mix of five shopping malls. At the Group level, the adaptation of the mix is also very significant. This graph show that we continue to replace trailing segments, such as, Toys and gifts of fashion, by more profitable ones such as, Health & Beauty, Fitness and Sports, and as you can see the figures are quite impressive. We are to also able to expand the presence of retail champions in our malls. Thanks to a very privilege relationships with them. We signed a handful of deals with each of the leading brands you see here. They are among the retailers who embrace the transformation of retail and know how to manage the omni-channel world. Now also we see newcomers to our malls. And in some instances to the shopping center market like Dyson, Hawkers, Netflix, Daniel Wellington and many others, proving once again that our malls are very attractive places to build brand awareness indeed. And as I said earlier, the success of sports stores is continuing. Sports retailers sales have increased by 8% since the start of the year, which is significant. We have signed 28 new deals with brands such as Snipes, Decathlon, JD, Foot Locker, Decimas. Now moving to the Let's Play, we are also accelerating our event strategies, the quality of our events is increasingly high and they do other powerful impact. Let me take a few example, in the past few months, we have deployed two new license events in our malls across Europe, one is for the latest Spider-Man movie Far From Home, which has been a tremendous success and football was up by 17%. The second was in [indiscernible] with the European Tour of Just Dance, it is making stop at several of our malls and the Créteil Soleil edition was amazing I must say with 12% football increase. That speaks also about the digitalization of our relationship with our consumers. Our digital ecosystem is expanding rapidly take Instagram for instance, our consumer are our best ambassadors and they like to post photos of what is happening in our malls on their Instagram accounts. Our number of Instagram followers increased by a massive 55% year-on-year in the first half. Turning to capital. We keep renovating our malls to infuse a sense of hospitality and ensure our consumers feel pampered. In the first half, we completed the renovation of five malls Plenilunio in Madrid, Assago in Milan, Lublin Plaza and Poznan Plaza in Poland and Portet Toulouse in France. And this generates a return we did our sales on the 12 months rolling basis have increased by 4.2%. So definitively more customer care means more sales for our retailers. The overview of our operational pillars wouldn't be complete without ACT FOR GOOD our CSR strategy. I would like to highlight that we at Klépierre are at the forefront of our industry in terms of efforts to reduce our carbon footprint. For this, we are reducing our energy consumption across the board. We are also committed to using 100% electricity from renewable sources by 2022 at the end of the first half we were already at 83% it's very encouraging. This means a lot in terms of reducing greenhouse gas emissions. To conclude, just a few words about our two main underlying development projects. The extension of Créteil Soleil is proceeding according to plan, which is almost entirely leased almost before opening. The great brands include a handful of trendy restaurants for the food avenue that we are creating. And in Bologna, we are reinforcing Gran Reno lead in position in its catchment area with a 24,500 square meter extension the construction work are starting as we speak pre-leasing rate is at 50% and this mall makeover is going to be truly munificent. With this I will hand over the microphone to Jean-Michel for the financial review. Jean-Michel your time.
Jean-Michel Gault: Thank you, Jean-Marc, and good morning everyone. Before digging deeper in our financial performance, let me briefly come back to one of the main highlights of the first half, which was rapidly mentioned by Jean-Marc interest rates. When we prepared our budget at the end of last year, we were not expecting such a drop in interest rates. Looking at the 10 year EURO swap curve, we're today at close to zero. That's an all-time low and close to 100 basis points lower compared to last December, obviously this has and will continue to have positive implication not only for our P&L and for the structure of our debt, but also for the underlying assumption related to valuation. Let me start with our balance sheet and the portfolio valuation. Over the past six months our portfolio value declined by 0.9% on a like-for-like basis, when looking at the changes in the main assumption used by the appraisers, it's worth noting the slight increase in the risk premium and the slight decrease in the risk free rate and corresponding lower indexation. When it comes to the risk free rate, the change has been relatively limited at roughly 10 basis points to 15 basis points. Overall, on a like-for-like portfolio basis, the discount rate used by appraiser was broadly stable with the exit rate increased slightly. This explain why the market effect has been slightly negative minus 1.2%. Regarding the NRI forecast, thanks to LC renewals and despite slightly lower indexation assumption, NRI growth was broadly unchanged. This is consistent with our view that our like-for-likes revenue will continue to grow going forward. Therefore, our EPRA net initial yield was stable at 4.9% when comparing it with the spot risk free rate this spread now stands at 420 bps this is huge and much higher than we have seen in the past. I think it's interesting to note that our portfolio yield has only decreased by 80 basis points since 2011, while the risk free rate has collapsed by 350 basis points. This is even more hiking when we compare with other investment classes. Looking at the bond market for instance, the gap is very significant. Back in 2011, Klépierre issued a 10-year bond and got a coupon of 4.75% at that time. This year as Jean-Marc mentioned earlier, we issued a 11-year bond for a coupon of 0.6%. This is a comparison of more than 400 basis points compared to 80 bps for our EPRA net initial yield. That is to say that we operate in a very different environment. Therefore, we continue to believe that valuation will not decline materially sustained by continually growing cash flows, while yield will remain broadly stable sustained by lower interest rates environment. Moving to our EPRA NAV, the evolution in the portfolio valuation translate into a slight decline in our EPRA NAV. Our EPRA NAV per share stood at €40 at the end of June 2019, this represent a 1.3% decrease compared to December 2018. The main driver of this is strong cash flow generation €1.30 per share more than offset by the asset revaluation for minus €0.80 and the interim dividend payment for €1.05. ForEx and other operating and financial cost were mostly responsible for €0.07 reduction in NAV, while our share buyback program had a positive impact. Our EPRA triple net NAV is at €39 per share at June 30, a 3.5% decrease the gap compared to EPRA NAV reflect the fair value of a fixed rate debt, which as mentioned earlier, was impacted by the drop in interest rates during the first half. Moving now to the cash flow. We continue to grow at a sustained pace. As you can see, we posted 5.4% growth in our net current cash flow, despite a slightly negative impact from old capital allocation. Once again, this is a very solid performance. In the first half, the main driver for our net current cash flow growth is the NRI like-for-like. Part of the NRI increase is form indexation and reversion that we also generated higher efficiency in leasing income, the contribution of 30 basis point and a reduce of service charges for 15 basis points. The reduction in our financial cost has also contributed to our net current cash flow growth. In fact, we reduced our average cost of debt by a further 10 basis point in the first half to just 1.5%. Regarding the capital allocation, the dilutive impact of disposal completed in Italy and Hungary at the end of last year and the disposals in France in Portugal at the beginning of this year, was slightly higher than positive contribution from recent development and the share buyback program, which implied -- which implement, as you know, in collection -- which we implement, sorry, as you know, in connection with disposal proceeds. Looking ahead and considering the net current interest rate environment, we believe we have further potential to lower our cost of debt. In the next three years, we will have to refinance bonds worth roughly €1.8 billion at an average coupon of 4.2%. Taking into account that some of these bonds have been partly or fully swapped at variable rates as indicated on this graph. The average coupon stands at 2.7%. Assuming, we can refinance these bonds at the same 0.6 rate as recent 11-year bond issue, we can even choose for a shorter duration, if rates are going to increase, we could save approximatively €40 million per year or 5% of our net current cash flow. This is very, very substantial. We are used to saying that we are very disciplined when it comes to our leverage. This implies allocating recurring resources, such as our net current cash flow to finance recurring items, such as the dividend payment and maintenance CapEx. On the other hand, to finance less committed or non-recurring expenses, such as our development pipeline, acquisitions, our share buyback program, we generate proceeds from disposals. Once again, in the first half of 2019 our net current cash flow more than cover the interim dividend and distribution to minority partners as well as maintenance CapEx, which amounted to €41 million, of which €9 nine million are re-charged to tenants. As you can see on this slide our cash flow was even sufficient to finance our €79 million in development CapEx as well. Our second source of cash consists of proceeds from disposal, which reached €257 million in the first half. Part of this was allocated to our share buyback and the remaining amount to pay down our debt. As a result, we continue to bring down our net debt-to-EBITDA ratio to 8.1 time, as we often like to emphasize cash flow growth should be looked at together with the evolution of the leverage. Since the end of 2015, we have reduced our net debt-to-EBITDA ratio by 1.1 time while generating 27 growth in the net current cash flow per share. I believe this is quite remarkable and unique performance. Thanks to this consistent de-leveraging today we are very well positioned. Our leverage is among the lowest of European REITs. We believe this is a great strength in the current environment. So, now before taking your question let me briefly conclude this presentation. Once again, we delivered a strong set of results in the first half in the transforming retail environment. Our malls keep delivering and gaining market share. Our like-for-like NRI grew by 3.1%. Our net current cash flow was up by 5.4%. We were quick to deliver on our disposal plan. We continue to deleverage the company and further reduce our net debt-to-EBITDA ratio, which now close to a dime. As a result we are raising our guidance for net current cash flow per share for 2019 to at least 4.2% growth. This clearly demonstrate our confidence in the future. Thank you very much for your attention. Jean-Marc and I are now ready to take your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Bart Gysens from Morgan Stanley. Please go ahead with your question.
Bart Gysens: Hi. Good morning. Can you hear me? Hello.
Jean-Michel Gault: Hello. Yes, we hear you well Bart.
Bart Gysens: Okay. Hi. My first question or my question is about the MGR uplift for the leases that you've signed. So if I look on page 2 of your press release, you say you signed 821 leases for the first half that's giving you about €6 million of additional minimum guaranteed rents. Now if you look at the first quarter, you signed about 400 of those in the first quarter when you had almost €8 million of additional minimum guaranteed rent. Can you reconcile the two so was the second quarter just a bit weaker or am I getting the wrong end of the stick here?
Jean-Michel Gault: So let's review to a very detailed question, I need a few seconds to answer to it. So what I've been told is that the €8 million you are referring to includes the new letting, which is not included in the numbers you are referring to in the first half here. So the two numbers are comparable, so we should break it down for you.
Bart Gysens: Okay. Because it looks a bit confusing, right. So 400, I think, 18 -- 418 leases in the first half with €7.7 million of MGR then another 403 million leases in the second half -- 403 leases in the second half and it looks like you've lost €1.7 million of MGR there. But I think it would be good if you can tell us whether they are not comparable or comparable or not?
Jean-Michel Gault: Sorry, for the confusion that the numbers are, I mean, we'll provide the details and give you more comfort by the numbers.
Bart Gysens: Great. Thank you very much.
Operator: Thank you. Our next question comes from the line of Peter Papadakos from Green Street Advisors. Please go ahead.
Peter Papadakos: Just I have two questions. One is I guess on slide 16, so thanks for the additional disclosure on disposals and how it progressed. But when I look at that slide, just very basically when I take around the 20 assets in the €1 billion so the average ticket size is around the €50 million mark. Can you comment on how the valuation has performed between, let's say, the assets which are under €100 million versus the assets that are above €500 million, because we do hear from various sources, credible sources in the private market that actually the bigger malls are finding it more difficult to find ultimately bids, because it's very difficult to go through investment communities when you have to commit €400 million as opposed to €20 million. So can you give us a little bit of color in terms of how your portfolio has done by size, any sort of additional comment would be good? And then the second point, I appreciate you making the point about collapsing interest rates, but I guess the other side of that coin is that growth expectations should also be coming down. So when you think about yield as well as growth and you think about that slide 34 where you say the risk premium is at an all-time high. If you went back and did that yield plus growth, do you think we are still at an all time high or from a look forward total return perspective or is actually the growth expectations coming down faster than that -- than in the past and therefore the spread is not as big as we would like?
Jean-Marc Jestin: So for the first question I think we don't itemize too much or by size of the assets, because we are cleaning the top and odd properties in terms of size for Klépierre, it's 93% of the portfolio and it's clear that we have 7% of our portfolio which are low -- smaller or shopping malls or retail properties that we are selling from time-to-time. So there is not a big I would say, it's difficult to say if there is a -- if size really matters. I think in terms of valuation I think what matters the most with value that what they consider as prime and when they consider as not really prime and there is a huge expansion in the non-prime assets and non-prime is quantified as not dominant in a catchment area, lower gross profile in terms of NRI and lower demand from retailers. So, it's not really a matter of size. But when it comes to investment market, I think, it's clear today that the investment market is quite muted in many places, so there is a lot of discussion about it. But when it comes to what we are doing on the non-core assets, we are selling we see a lot of investors of different nature buying assets. Yes, ranging between €20 million and €100 million and there is a market as you said for that for bigger transaction, we are not seller of bigger assets, so we cannot comment, but it's clear that this type of asset then there is a lot of barriers fight.
Peter Papadakos: For the second question that…
Jean-Michel Gault: Well on -- for the second question, I'm not sure we got all the content of your question that just to frame it our way. First, I would like just to say that speaking from valuation because it has been a very limited transaction as you know into the market for -- especially for prime asset which put valuer a little bit in trouble as you know. So what we can say is when it comes to Klépierre portfolio valuation, they have an overall assumption a 2.4% of new CAGR in their discounted cash flow with 1.3% average indexation. We believe that this is very consistent with our own expectations, considering our low OCR. I'm with you to say that when interest rates are so low, it is because that is probably an expectation that the economy will slow down. But if we look also at the typology of our portfolio and our geographies and so on, we still believe that this is a pace of growth that we can deliver going forward. Then after or I think it's very difficult to justify today this very significant premium which is probably attributable because what I would say, when we don't know where to put the blame on, we put it probably on the liquidity issues. So it's probably higher liquidity premium due to the lack of production. Again we need -- we are lacking currently prime transaction into the market to give evidence that from prime asset with a yield at let's say 4%, they are still of an interest for investors in the current interest rate environment.
Peter Papadakos: Understood. Thank you.
Jean-Marc Jestin: Just I don't know if Bart you are still on the line, but so we are digging to the Q1 press release and the number for renewal and release was €3 million. So we move from €3million in the Q1 to €6 million in H1. So that was indicated, so it was not as you indicated. So it's €3 million to €6 million. No question?
Jean-Michel Gault: Yes. And there is a question I think on the website about the -- more details on the disposal. And what was the average yield. The average yield for the whole transaction is around 6.5%.
Jean-Marc Jestin: But we don't disclose it country by country as requested into the question because it would come mostly to one deal and then we don't use to disclose on the deal per deal basis. Sorry. I think there is another question on the phone.
Operator: Yes we do. Our next question comes from the line of Jaap Kuin with ING. Please go ahead with your question.
Jaap Kuin: Hi, good morning. This is Jaap with ING. Just a question also on disposals, I appreciate your disclosing the yields. Obviously, you're selling kind of the lower end of the portfolio at an average of €2500 per square meter which is obviously way below to the better part of your portfolio. So, I was just wondering, if you could share your feelings on indeed the market for -- you said something about the bigger assets, but also could you maybe share something on the feeling you get from potential buyers for example if they get into problems getting funding for some of the assets that they would like to buy and if that would become a prohibitive factor going forward any clouding deals with people who are dependent on secured funding for example? Thank you very much.
Jean-Marc Jestin: Thank you for turning the question to us because this is a long term question that everybody wants to have an answer to. So, I think the investment market it is as it is okay. For the -- we have not seen nice transactions recently, but in France with the supermarket deals was quite a significant transaction with Casino. So, we have to number one, the number of prime large assets transacted it's -- I know so it's difficult to say why and if there are buyers for that. We are not sellers of our prime assets we are selling only non-core assets so we can only comment on what we are doing. I'm still -- probably what my feeling is that when I look at the portfolio of Klépierre, this is not a proxy of the market. What we are selling as you can see on the €1 million [ph] is even if I will look not very modest thing is it's far above in terms of quality of what you can see on the market and which does not transact. So, the properties we are selling whatever we think about it, whether we think it is core and non-core, they are good assets. They have strong cash flow still some growth going forward they are good in that catchment area we may like or dislike convenience malls or whatever, but they are good assets. So, I think the -- my general comment on that is that the general quality -- the overall quality of what we own is still above the market and that's the big gap. The other in terms of valuation and transaction, I think there is a lot of noise is coming from the U.K., the problem of the U.K. that they have declining NRI, we are growing NRI and even for the non-core assets we are sitting, they are not assets with declining NRI. That's the only comment I can do.
Jaap Kuin: Okay. Thanks guys. Just maybe…
Jean-Marc Jestin: Can you stick on continuing selling the assets that we have to finance our pipeline and to have a better investment opportunities?
Jaap Kuin: Okay good. So, maybe just to confirm then you haven't heard any sounds from potential buyers of your assets that they would have trouble getting funding -- getting funding in place to actually buy the assets you're selling?
Jean-Marc Jestin: No. No, we will not -- all the transaction we have done has been funded, so the last one is younger indeed. That would be closed by the end of the year and I'm confident that funding will not be an issue.
Jaap Kuin: Okay, great. Thanks.
Jean-Marc Jestin: Let's meet when it is done.
Jaap Kuin: Okay. Thanks.
Jean-Marc Jestin: Thank you. I think there is a question on the phone.
Operator: Thank you. Yes, our next question comes from Varaldo Michel from Societe Generale. Please go ahead with your question.
Michel Varaldo: Thank you for your presentation. I have two questions. The first question is about the buyers for your shopping malls. Can you tell us a bit more who were the buyers for your 11 shopping centers for €485 million that you mentioned? The second question is with respect to your shareholding, we've observed Simon Property increasing its stake at 21% and a reduction of APG and can you comment upon this? Thank you.
Jean-Michel Gault: Can I make my answer in English or -- okay, so for the question on the disposal of the 11 malls for we sold these properties and you won the identity, I think we are not going to do that okay one by one. But there is -- as we said, there is a variety of buyers. It can be a family of offices, it can be a smaller REITs, it can be a different type of players. They are -- most of the time I would say to characterize them, they are local guys if I may say like this. So, in The Netherlands, we sell to Dutch; in Hungary, we sell to Hungarian, and in Portugal, we sell to Portuguese and probably because they know the better the market that the big institutional pockets that are still wondering where are we growing. So, very local, very knowledgeable people in their market. So, for your second question about the shareholding of Klépierre and Simon going up and APG going down, we have no comment to do that we don't do that for anyone of our shareholders.
Operator: [Foreign Language] Next question for Christian Auzanneau of AlphaValue.
Christian Auzanneau: Yes, good morning. I have a series of short questions. The first with respect to Spain how long will this significant reversion rates to be sustainable? Second question is it now time to accelerate the process of disposal in Spain where the market is still very buoyant? And I have more questions after that.
Jean-Marc Jestin: For the reversionary that we proceed in Spain, it's clear that when you do reversionary starting with the two, that's a pretty high number. I think this reflects many things. Our properties are really doing very well in terms of sales we are also catching up after a few years of recovery and you have to remember that five years ago, Spain was in a different situation. So, I think there is also a cyclical effect to that, so by definition, I would say, it would not be like this forever. I think what is important when we look at the performance on a 6-months basis is also to zoom out a little bit and look at the performance over few years. And that's probably -- that what makes our company more resilient is that we -- we may benefit from the different macroeconomic cycles, all over Europe, which are never synchronized. So, Spain is getting -- is doing very well, like Portugal and Central Europe. Some of the countries a little bit weaker. I would say they are all positive. I have to say. And if you look at 5-years ago it was a different picture in 5-years' time, it would be also slightly different. So the distribution of the growth of Klépierre may vary from a country to another from -- yeah, on a 5-year basis. So, it's difficult to say more details on that.
Christian Auzanneau: [Foreign language] So then, I deduct that Spain will not be your preferred focus area for disposals?
Jean-Marc Jestin: We have one strategy which is to be financially disciplined. Okay. And our financial discipline, I mean that we need to finance our pipeline. And our CapEx with our cash flows and the disposals comes on top of it. And we do the disposal to with one main objective is to refocus our capital to, I would say, the top 100 properties we own. Step by step, so that we can -- we can -- we can, yeah, we concentrate our capital to the big countries where we are, in the big cities, which is the vast majority of our portfolio. So, this is an ongoing process, and as you said, if you do it steadily and not in a rush, because you don't have a pressure to clear your balance sheet, you do it in a much better condition. And once more coming to the valuation, I think it also proves that the valuation we have in our books really take into consideration, these variety of the -- the variety of the portfolio and the yield are different between those type of assets and the others. And when we go to the market we hit the value. And we even do better. So I think there is quite a good consistency. And that make us confident to continue doing like this.
Christian Auzanneau: [Foreign language] Okay fine, next question. On the future disposals, you are saying that you wanted to disposals at €1.4 billion, there are €900 more million to go. Will it lead you in the future to engage new share buyback programs? Or will you stay with the €400 million. And the remaining €900 million will be allocated more to deleveraging rather than share buyback?
Jean-Marc Jestin: Differently, okay, we don't have a specific program to dispose X-billion of assets, at some point of time. Some of this, we do have this on the agenda and we don't. Okay. We protect our company to never been that situation, okay. So we are selling assets for refocusing and also to finance our pipeline. And that's -- and we do it on when it comes, okay. And I think we have proven in the past that we are selling at good prices. So, we have no guidance whatsoever on the disposal plan. We do it, as we said, once more every year, we review the cash flows. The CapEx that we want to spend to improve our property, the development pipeline we have. We are committed and then we fix the financing for that.
Jean-Michel Gault: I think there are, some other question, on the phone.
Christian Auzanneau: [Foreign language] Yes, to finish with my questions, a more philosophical question on the change in regulations in Europe. On the REIT dividend payout rates, would it be desirable to start negotiating with the French and European authorities to reduce the obligations to payout dividend. As is mandatory, as is the case in France, considering what's coming up in the U.K., what's already happened in the U.S., with the suspended dividend payouts with more difficulty for companies to pay them out. Is there a possibility to start engaging discussions with the authorities in this respect?
Jean-Michel Gault: Well, it's difficult for me to answer this question. We don't need to reduce our dividend payout, right? We are not seeing this logic. What is important to note here is that Klépierre is a company, which has several tax regimes, the primary tax regime is that of a SIIC, S-I-I-C, but the French business in our portfolio accounts for only 37% for those were 100% SIIC based or whatever based they have their own considerations. But changes in regulations we of course scrutinize and monitor, but we don't want to make any more comment on what we we'll be doing in the future.
Jean-Marc Jestin: Sorry. I think we have to move to another participant, because we have a list of participants waiting on the phone, sorry.
Operator: [Operator Instructions] Our next question comes from the line of Niko Levikari from ABN AMRO. Please go ahead with your question.
Niko Levikari: Yes. Good morning. Just a quick question as a follow-up for the disposals. I understand you manage to sell the Kristianstad at Galleria I was just wondering given that I had a chance to see the asset which on a basis seem to be half empty on a GLA basis, do you use rental guarantees with some of these more challenging assets to sell them or how would you like to that or if you can provide a bit more color on that one?
Jean-Marc Jestin: Which Galleria are you referring to?
Niko Levikari: The Kristianstad one, the other one in Sweden or south of Sweden.
Jean-Marc Jestin: Sold it, so no comment. The one which is in Sweden?
Niko Levikari: Yes.
Jean-Marc Jestin: We still own it we are very happy to own it. Do we have not sold it so -- and we never we never give rental guarantees when we do disposals. We never do structured disposal, okay. We do plain vanilla as is disposals, because what we sell is good quality, good stuff easy to understand. So, but Kristianstad not sold.
Niko Levikari: All right. Well, thank you for that.
Jean-Marc Jestin: In generally, we've a notice bidding rights, we thought -- which is probably what you are referring to but it's a couple of millions.
Niko Levikari: Okay.
Jean-Marc Jestin: Yes. Let's – probably, we are too long.
Operator: Thank you for your questions. At the moment there are no further questions. Thank you.
Jean-Marc Jestin: Okay. So, thank you very much for attending the call and some of you we'll see later. We wish you a good early days with your family and see you soon. Thank you very much.
Operator: Thank you very much for joining this morning's conference call. You may now disconnect your lines.